Operator: Greetings and welcome to the Federated Hermes' Third Quarter 2020 Analyst Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded.  I'll now turn the conference over to your host Raymond Hanley, President of Federated Investors Management Company. Thank you. You may begin.
Ray Hanley: Good morning and welcome. Leading today's call will be Chris Donahue, CEO and President of Federated Hermes; and Tom Donahue, Chief Financial Officer and joining us for the Q&A are Saker Nusseibeh CEO of the International Business of Federated Hermes, and Debbie Cunningham, our Chief Investment Officer for Money Market. During today's call, we will make forward-looking statements and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review the risk disclosure in our SEC filings. No assurance can be given for future results and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
Chris Donahue: Thank you, Ray. Good morning all and thank you for listening. I will review Federated Hermes business performance, and Tom will comment on our financial results. We continue to grow and expand our EOS at Federated Hermes engagement activities. During Q3, our staff level of engagers and other specialists reach 65, up from 60 at the end of Q2, and our assets under advice reached $1.2 trillion, up from $1.1 trillion in the second quarter. Now looking at our equities business, assets close the quarter at $80 billion, up from $77 billion at the end of Q2, as market values continued to recover, adding $4.3 billion, offset partially by net redemptions of $1.4 billion. While overall net sales of combined equity funds and separate accounts were negative, we saw positive net sales in a number of strategies.  We had 16 equity funds, with net sales in the third quarter led by Kauffman small cap and the SDG engagement equity user it fund. Other funds include global equity ESG impact opportunities, international small mid company and global small cap equity. Using Morningstar data for the trailing three years, at the end of the third quarter 24% of our equity funds were in the top quartile and to search were above median. Looking at the strategic value dividend strategy, its objective is to provide a high and growing dividend income stream from high quality companies. The domestic funds 12 months distribution yield was 4.4%, which ranked in the second percentile of its Morningstar assigned categories at the end of the third quarter. The domestic strategic value dividend strategy had combined mutual fund and SMH outflows of $1.4 billion in the third quarter, down from $1.6 billion in the second quarter. While recent market characteristics have not favored our low volatility high dividend strategy, we believe that our continued focus on the core goal of providing higher than market dividend yield from high quality business assets will resonate with investors over the long term, especially in a low rate environment. Q4 results through October 23 show combined fund and SMA net redemptions at about $190 million. Now turning to fixed income; assets reached another record high of nearly $80 billion at the end of Q3, up over $6 billion or 9% from Q2. The third quarter growth was driven by strong net sales of about $5 billion. Our broad arrays of solid fixed income strategies were well positioned to meet market demand. We had 23 fixed income funds with net sales in the third quarter. The multi sector total return bond and short intermediate total return bond funds combined for about $1.2 billion of Q3 net fund sales. Ultra short strategies had about $1.1 billion of net fund sales and high yield added just over $400 million of net fund sales. Corporates, high yield, multi sector, government and municipal bond funds all had net sales, as did our fixed income SMA. Across sectors, short duration strategies were in demand and also drove the fixed income separate accounts net sales. At quarter end using Morningstar data for the trailing three years, we had 26% of our fixed income funds in the top quartile and 50% were above median. We began Q4, with about $1.5 billion in net institutional mandates yet to fund mostly in fixed income. Moving to money markets; the Q3 asset decrease of $25 billion was mostly from money market funds, which decreased from Q2's record high and to a lesser extent, seasonal declines in separate account assets. Money market fund asset decreases were attributed to corporate clients using cash to pay down debt or spend on their businesses and to use end-to-end the use of cash by government entities among other factors. Our money market mutual fund market share including sub advised funds at quarter end was nearly unchanged from the prior quarter at 8.1%. Taking a look now at recent asset totals; managed assets were approximately $614 billion, including $430 billion in money markets, $81 billion in equities; $81 billion in fixed income, $18 billion in alternative and $4 billion in multi asset. Money market mutual fund assets were $322 billion. Overall, we continue to function well through the challenges of COVID. Upwards of 95% of our employees are successfully working from home, leveraging progress from years of technology investments and strong culture. We recently communicated that we are delaying a significant return to our office for US employees until mid February. And our decisions about when to return more employees to our offices will be informed by conditions and not the calendar. We have emphasized that working together in our office is vital to Federated Hermes culture. And it facilitates collaboration, allows impromptu conversations and promotes personal interactions that build camaraderie and creativity. Culture means community collaboration and cooperation and it's best accomplished in the office in my opinion. We would lean on wanting people to come back to the office when it's proper to do so. Tom?
Tom Donahue: Thank you, Chris. Total revenue for the quarter was up about 4 million from the prior quarter due mainly to higher equity and fixed income assets, which combined to add about $20 million of revenue. This was partially offset by net money market minimum yield and other waivers and lower money market assets, which combined to reduce revenue by about $18 million. Recall that in Q2, we saw revenue growth from higher money market assets partially offset by lower revenue from equity assets. Our diversified business mix positioned us to grow revenues in varying market conditions against the backdrop of challenging times. Other factors impacting Q3 revenues, compared to the prior quarter included an additional day, which added $4.4 million and a decrease of $2.9 million in performance fees and carried interest. Looking at operating expenses comp unrelated increased $2.6 million from the prior quarter due mainly to higher headcount and FX rates, and higher benefit and other costs. The decrease in distribution expense compared to the prior quarter was due to the impact of minimum yield waivers and lower money market assets, which reduced distribution expense by about $18 million. This was partially offset by an additional day in the quarter and higher equity and fixed income assets. Other expenses include a $1.1 million revaluation from the contingent purchase price liability from the first quarter MEPC acquisition. Also impacting the other expense line item was a decrease of $1.8 million of expenses from derivatives. This is from the Hermes hedging their dollars into pounds. The impact of money fund yield related waivers on operating income in Q3 was $3.8 million based on recent assets, and expected yield, the impact of these waivers on operating income in Q4 could be about $9 million. And we think that's about where it will level off. Multiple factors impact waiver levels, including a potential additional stimulus package, which is included in our forecast. Non-operating income decreased from the prior quarter due mainly to the lower increase in the value of seed and other investments in the third quarter. As noted in the press release, the Board approved a $1 27 per share dividend including a $1 special dividend. We've declared five special dividends for a total of $7.53 per share, or about $0.75 billion in the last 12 years. We will pay the dividend from cash on hand and it will be considered an ordinary dividend for tax purposes. The Q4 dividend payment is expected to reduce Q4 earnings per share by about $0.015 per share, due largely to the exclusion of the dividends paid on unvested restricted shares from net income under the two class method of computing earnings per share. During Q3 we purchased 867,000 shares for $20 million with nearly all of this purchased in the open market. At the end of the third quarter cash and investments were $437 million, of which about $370 million was available to us. Debt at the end of the quarter was $90 million.  We would like to open the call up for questions now.
Operator: [Operator Instructions] Our first question is from Ken Worthington with JPMorgan.
Ken Worthington: Hi, good morning. Regulators and regulatory panels continue to kick around the idea of altering money market fund regulations. Again in response to the need for Fed programs to support funds post COVID. What are the fixes that are being most talked about? And could this round of rules either damaged the outlook for prime money market funds? Or is it more likely that it actually helps the outlook for prime money market funds?
Chris Donahue: Thanks Ken. This is Chris. I believe that the thing that's being talked about the most is the restriction on that 30% trigger. The comments that were made to the SEC of not only requirement 30% weekly liquidity level, but then requiring the public notice there of and then the consideration by the board of fees and gates acted exactly the way that was predicted. Namely, it caused more problems than it solved. And there are a lot of ways around that if the SEC wants to keep the trigger fine. You just don't have to do the things that wave a red flag in front of the marketplace. And ameliorating the impact of that 30% is the number one thing that's being discussed. At this point, in our view, the money market funds came through this situation much like they did before, with a lot of resilience, and therefore there is no need to further diminish prime funds, even though there are some who use them as trading mechanisms in order to preserve their non SIFI status. And the reason for this is if you take an honest look at stakeholders, stakeholders include the issuers, which include colleges and municipalities, all of whom need great help, during COVID, and post COVID times, and restricting their ability to get financing on the short end doesn't make a lot of sense. And you have the users, which again, include that same group, and then you have the other shareholders. And we just don't think that it makes a lot of sense to eliminate the spear point of the short term markets at this time. So what will happen with regulation, I cannot predict, I can assure you that we will be in there defending the beauty and efficacy of prime money market funds.
Ken Worthington: Great, thank you. And then you had pretty substantial outflows in money market funds this quarter, and pretty strong net sales into fixed income funds this quarter. To what extent is the money that's coming out of cash going into fixed income? And really the heart of the question is to what extent can you cross-sell or cross market cash management clients and really the intermediaries to kind of retain those dollars coming out of money market funds, and get them sort of pointed to federated fixed income business?
Chris Donahue: A truly lovely concept that doesn't work and I can't defend. And if I could, I would; we have discovered over the many, many decades of being in the money fund business, that the money fund and cash determinations by clients are made on the basis of cash. But what happens is because you're there with the cash account, you can talk to them about the other beautiful options that you have. But to be able to exactly calculate and follow money moving from cash into fixed income we just have never been able to do. We have separate sales organizations who coordinate very closely. And I think a large part of the sales that we had in this quarter, were related to the breadth and quality of the fixed income offerings that our clients were able to see. And so you can be sure that the sales people on the fixed income and equity side use the money market fund as a door opener. It's just very difficult to trace the money.
Operator: Next question is from Dan Fannon with Jefferies.
Dan Fannon: Thanks. So wanted to follow up on the fee waiver outlook; you highlighted the potential for stimulus in that assumption for the $9 million. Can you talk about the sensitivities if there isn't stimulus and other kind of assumptions that are embedded in that?
Tom Donahue: Sure, Dan. Thanks. There's a whole lot of assumptions and raise asset mix, client actions. And then you just mentioned the stimulus which we mentioned, which if you track our forecasts, surprisingly because of so many factors we've been pretty accurate. Basically, our team thinks that there's going to be a stimulus package, and the size and the timing matter. And as we run through so many factors, we came up with an estimate that was $9 million. I guess if the stimulus package doesn't happen we would run the numbers and get a couple million more in wavers.
Dan Fannon: Okay, and then the relationship between the gross and the net with the distribution expense, is there a point at which it becomes more negative to the overall profitability? And where you cap out on the distribution expense offset?
Ray Hanley: Hey, Dan. It's Ray. So imbedded in that when you see the numbers roll up in total is a group of 40-ish funds and multiples of that and share classes. And they all have different ratios of distribution, revenue and expense. And the answer to your question is yes. In that at the higher fund fee levels, they're higher because they have additional distribution, revenue and related distribution expense built into the fund. And so as you know, when and as and if rates go lower than that mix changes, and you have funds that have lower distribution, revenue and expense begin to get impacted by waivers. And you can see that if you look at the history of waivers, and the resulting impact on those line items back in the '09 to 2016 period, but it's really a function of the mix of assets, again, across a pretty wide base of funds and share classes. And that makes it hard to model and predict.
Operator: Our next question is from Patrick Davitt with Autonomous Research.
Patrick Davitt: Hey, good morning, everyone. Could you update us on the progress of kind of the ESG application of the long term business, through that lens, any kind of specific anecdotes you can give us of that transformation actually, helping the flow picture for specific strategies as they move kind of transform from non ESG to ESG, particularly on the equity side? Thanks.
Chris Donahue: Well, Patrick, this is Chris, once again, the movement through full integration is in full operation. And the theme of it is to be able to legitimately and in-depth convince investment people are looking for mandates, or RSD, that we are authentic. And this is not a cosmetic operation. And so we have these charts that we look at to go through each group on three different levels, from the initial analysis to the customization, and then the integration with testing in each stage, and bar graphs that show you how we're doing in each group. And as we've mentioned before, the liquidity group that Debbie runs is very, very much in the lead on this and has integrated and in fact, is now in the process of engaging with some of the GSE's as part of that effort. The strategic value fund is also complete on this process, as are the high yield, as the high yield group, and others are proceeding along quite well. So this remains a commitment. Now, the way you phrase the question about well whether ESG, or non ESG, some of these groups that I've just mentioned, already got high grades on ESG, even though they weren't ESG integrated, and that's because of the fact that they're really looking at risk. And when you look at risk, you look at it a lot of different ways. So this enhances it. Now in terms of the second part of the question where you asked about the sales that is very hard to discern, because when you integrate into the entire money market franchise I don't think you can say, oh, well we got these ones or those ones from the ESG. I will allow Debbie to give you incidental type observations on that. But it's very, very difficult to track and the same in the other areas that I've mentioned. But where you do see it is in some of the funds that are from our UK operation that I mentioned with the positive flows around the globe. And so that would be another way of looking at it, Debbie.
Debbie Cunningham: Thanks Chris. From I think probably the reason that we are the most fully integrated group within the three different sectors at Federated Hermes has to do with the fact that we by rule 2A7. And for our money market funds for our mutual funds are required to only deal with issuers that represent minimal credit risk, high quality and their minimal credit risk. So for the most part, we're dealing with the largest companies, the largest financial entities in the world, on a global basis. And as such, even though there may be issues from a governance perspective, or some of them with regard to the fans, services sectors, there may be environmental issues for the BPs and the Exxon's in the world, there may be social issues from some of the pharmaceutical companies that we're using. The fact of the matter is, they're the leaders in the industry, and we are engaging with them to move forward so that they can move those issues from an industry basis, in a positive direction. So that's kind of our modus operandi, if you will, within the sector, some of the incidental observations that we've noted from the COVID perspective have a lot to do with firms adaptability. One of the issues that we have engaged with a very large, soft drink manufacturer has been their use of plastic, yet during COVID times back in March and April, they actually took several of their plastic manufacturing lines, their bottling lines, and turn them into PPE manufacturer. So they were they were making the face shields that were being used by healthcare workers around the world. So similar stories from say Walmart and some other retailers who repurpose their individuals and on a social basis did not necessarily lay those individuals off; so incidental observations have been good. And from a GSE standpoint, we'd begun conversations with our top five GSEs in the country. And they have not been asked to engage on any types of issues from an ESG perspective by any other investor in their database, and they are excited about the opportunity to start working with Federated on this front.
Chris Donahue: Thank you, Debbie. Before we leave this question, I'd like to ask Saker Nusseibeh from the UK to comment on the equities, and how this integration works on his perspective.
Saker Nusseibeh : Thank you, Chris. So as you might recall from previous talks we get you in -- when we talk about the business in London. ESG is integrated into everything we do. And because we have this leads, we do see increased flows into ESG, you see this across the markets in Europe as a whole and increasingly in Asia. But it also allows us to do something else. They now just launch specialist funds, which have the authenticity to be seen as being true to the market, which goes one step beyond. By that I mean, thematic funds. So this is not just standard ESG, that's going one step beyond, I would highlight, for example, the impact fund, which has raised some very strong asset flows. And in fact, something like the high yield SDG fund that tries to play to the strengths of SDG and others would be that we have been launching. So we do see connectivity between integrating ESG being seen as authentic and the leader in it and fund flows both into mainstream funds, which integrate ESG add into specialist funds that I should decide to go one step further and to become thematically ESG in addition. We are thinking of others which we'll bring to the market and which we think we will see strong close to as we go along through this year and the beginning of next.
Patrick Davitt: Got it. And real quick as a follow up to earlier, did you give the quarter-to-date bond flow number again in the pipeline? I missed that.
Chris Donahue: So the pipeline numbers about a $1.5 billion. And that's mostly fixed income and the quarter-to-date number for assets, is that what the first part of the question was?
Patrick Davitt: No, well, you gave an equity number, right. So I think I missed the bond number.
Chris Donahue: The bond number quarter-to-date is about north of $800 million positive.
Operator: Our next question is from Mike Carrier with Bank of America.
Mike Carrier: Hi. Good morning. Thanks for taking the questions. Tom, I realize a lot of moving parts with the waivers or the operating margin from 27% to 21% integrated and long term assets were up a healthy amount. Any other key drivers? How are you thinking about the outlook within that broad range, and not just the quarter, just as we're heading into in the next couple years?
Tom Donahue: That might be the market goes up when we lose a revenue number, and an expense number that are very close to each other. So actually it looks like we're smart expense managers. But it's just the way it works when we lose revenue, and then we lose expense that's close to it. And we look like we really manage that margin well, and it did go up. So I guess we're supposed to take credit for that. And if it goes back the other way the margin will go back down, which we will be happy because we'll be earning a little bit more.
Mike Carrier: Got it, okay. And, Chris, just wanted to get your thoughts on M&A, you guys have done strategic and roll ups several time. But there's been a little bit more activity in the sector. And just you feel like, if the firm has enough skill in the areas that you need it, I've seen it everywhere, but just wanted to get your thoughts.
Chris Donahue: Mike, we are always looking for roll ups. And as I like to say we are a warm and loving home for those so inclined. And we always have a few of them that we're looking at. So that isn't a question of whether we have enough size or don't have enough size. That's a question of where we can fit it in and do a better job and make a proper deal of with the people who want to do the robot. In terms of bigger ones; as I said before on these calls, we are inclined to focus on working on our collaboration with our associates in the UK, and growing this franchise and in integrating it. And when you saw what we did in the beginning of the year, more or less, which was complete the acquisition of the real estate, the private equity and the infrastructure aspects of the Hermes business. And then you look at the investments we've made on the ETF side, in order to create and grow a business there, I think you get a pretty good idea of where we're headed. Now, obviously, we don't have any size in ETFs, because we're not there. But we're looking at building this out. And that'll be a 2021 when we start filing products and making a lot more announcements about it.
Operator: Our next question is from William Katz with Citigroup.
William Katz: Okay, thanks very much for taking the question. Just coming back to the flows for a moment, looks like the altpocket sort of bounce back a little bit. Can you sort of step back and talk a little bit about where you see the best opportunity? And then how we should think about maybe performance fees will carry roll to the P&L, get over the next 12 - 24 months.
Chris Donahue: Saker, I'll let you handle that on.
Saker Nusseibeh : Thank you for telling Chris. Sorry about that. So let me start by talking about carry fees. We in the London as part of Federated Hermes have two sets of performance and carry fees. There's a straightforward carry fee, which comes for our private equity business. And anyone familiar with private equity businesses would be familiar with how that is depending on the roll up and the sale of underlying assets and we've got a strong history that shows that overtime we do generate these fees on regular basis but there are lumps as you'd expect when you come to the end of the cycle of any one fund that was invested some years before. The other bit of fees that we have is performance fees for property, which is the one that you've seen stronger this year. And these fees tend to come at towards the end stage of development projects that we've been working on for some time. And again, if you look through time, they've been reasonably consistent and less lumpy. Now, you'll notice I'm not giving numbers up, because I mean, you can't get numbers out. What I would say is that the performance fees were particularly strong this year, from property and we expect this to continue for some time. But over time, we would expect the performance fee to be a continuing part of the way in which our property investments generate returns, as we do within the categories within private equity. In terms of ratios, obviously, the property performance fees are a bigger ratio, and will continue to be a bigger ratio for the time being, until we grow up private equity business more. Does that kind of answer the question? 
William Katz: Sure, when you -- just to follow up now, when you look for where you can grow incrementally, are there any flagship categories is or buckets of opportunity you see over the next year or so?
Saker Nusseibeh : So that's a really good question. And that, again, tells you about the beauty of our property business. So the way that the property business is grown, is by finding key stakeholder or key clients who we form very long relationships with because the investment tends to be, a, fairly large in size. We're talking about I think somewhere between $300 million and $700 million. And b, they tend to be very long in nature. So you're talking about the commitment of typically 15 years in which you get both the fees and the revenues. And we are in constant discussions with clients and we have some that wants investment. So it's matter of finding the right projects that we want them to invest with us on, so that we can generate the return that you expected them. So this is without trying to predict anything about the future. But looking at the clients, they said we have, I'd imagine for these to continue to emerge, that is to say these large clients as we found the projects for them to do in terms of property. Now property is different from private equity, private equity, we will look to launch more funds in the next couple of years. And these funds will raise equity. And already we have indications that these would be attractive offerings to our client base.
Tom Donahue: Bill, you asked about flows as well in this area and the pickup in the third quarter. From fund standpoint, there were two in London strategies that had a step up in terms of net sales, and that was the unconstrained credit fund and the absolute return credit fund. Now Saker, if you have any, make any comment on those particular fund strategies?
Saker Nusseibeh : So yes, absolutely. So that is -- I mean, yes, okay, there are alternatives, but they're not in private markets, which is what I concentrated the performance fee on. What we've seen as an increase of pick up for our funds, which are linked to our fixed income, fixed income has been very successful. And these two are an example of that the multi asset credit is seen wide demand in the UK market, and we've raised assets for it very strongly. And that counter trend return as well. So this is part and parcel of our marketing of fixed income team, we built a very strong team over the last six years effectively with a very strong track record. And we've just started taking to the market in a major way over the last eight months. So this is something that you'll see more of as we go forward.
William Katz: Okay and just the follow up for Tom, thanks for taking the questions. Tom you mentioned and I guess Chris, you mentioned you can sort of stick it out work from home to February. Can you talk a little about maybe the non-comp trajectory of expenses? It doesn't look like it was particularly depressed this quarter just in for your one offs. How should we think about maybe the outlook for that as we look out into some call it level of normalization next year perhaps?
Tom Donahue: Well, the most interesting one is that TNE which you see on the press release is still running at a low level. And we're talking to the salesforce and our budgeting process and whether they think things are going to pick back up and basically they're kind of saying, hey, the second half of the year will be full throttle, that's their expectation now. And the first half will be slow, maybe half as much as it normally would be. But that's just totally dependent on the circumstances with the virus, and people's willingness to travel and people's willingness to let us in. The rest of the expenses, I don't see any, we're investing in a lot of technology things, and that will continue, but I don't see that showing up as outsized things in our financial, office and occupancy, that shouldn't change much. Distribution, how that's going to flow, and I think we've covered that. So that'll flow with the waivers and our growth or more money markets going up. Advertising and promotion, we had intentions of doing a lot of things with related to the Federated Hermes name change, and we got going on that, but curtail that in terms of COVID. And what was going on, but I think will creep back in there. And then Chris mentioned a few things that we are doing new and Saker mentioned a few things that we're doing new in terms of ATS, which will come along in 2021, and a number of products that Saker wants to do. And then Chris also mentioned early on the EOS and the hiring here and in the state of people to go out and engage to make sure that we are doing the EOS the way that Hermes does EOS. So that's a quick rundown.
Operator: Our next question is from Kenneth Lee with RBC Capital Markets.
Kenneth Lee: Hi, thanks for taking my question. I'm wondering if you could just share with us your expectations for near term fund flows on the money markets fund side, especially when you combine what you're seeing in terms of activity around the corporate and government clients, as well as seasonality impact. I think the fourth quarter is typically a strong quarter. Thanks.
Chris Donahue: Debbie, your turn.
Debbie Cunningham: Sure, generally speaking, our liquidity products do see inflows at the end of the year that may be mitigated to some degree by lower interest rates and by what was already a huge inflow in the second and part of the beginning part of the third quarter. So already, a lot of that cash was in our products, and maybe different types of cash was included stimulus cash that's now being utilized for its original purpose, sort of lighter to quality cash, I do think, depending upon what happens from an election perspective, short term markets don't like change for that matter. You'll see up light quality, if there's any kind of contested or questionable issues associated with the election, you'll probably see treasuries go a little bit lower in that interim time period; repo go a little bit lower on a rate basis because of it with flows coming in. So demand exceeding supply at that point until we do get some stimulus in the marketplace. On the other side of the market with the credit markets from a prime and immunity standpoint, it's more than likely that you'll see a little bit of spread widening and some outflows if that would in fact be the case. But generally speaking, the fourth quarter is usually a strong one for positive flows.
Operator: Our next question is from John Dunn with Evercore ISI.
John Dunn: Thanks and hi. Little more in the pipeline, you talked about mostly fixed income; is -- the fixed income limitation, there's similar to what's inflowing now, and then maybe has the time to funding change at all, and also the equity piece would be interesting to hear what that comprise of?
Tom Donahue: Sure. So on the fixed income side; it is similar to what's happening now. Strong in terms of high yield, in particular, that makes up a good bit of that pipeline. And then at the other end of the spectrum would be short duration. And so we're seeing a similar mix to what's in place now. On the equity side of the equation, it's actually a couple of the Hermes institutional mandates that they've won that are expected to come in. And we have some offsets there; we always give a net number. So the equity number is a couple hundred million in and a couple hundred million that we expect to that we know about this going to go out. And I just want to stress on funding, it's always hard to predict, these are known wins. And a lot of times we get a range of funding, we will tend to pick the low end of that range. The timing can vary. These are not necessarily Q4 in flow, some of them we know will fund on into next year.
John Dunn: Got you. And then just a little more in MEPC, maybe how this -- the environment, we're inheriting impacts with the push and pull between putting money to work but also potentially benefiting from disruption.
Tom Donahue: Did you say MEPC? 
John Dunn: Yes, that's right.
Chris Donahue: Yes, well, Saker, you want to talk about the timing there.
Saker Nusseibeh : So timing is a new client is hard to predict. What I can tell you are the project that NETCO is engaged with continued to be developed and handed in and continued to generate income. And the reason for that is that if you look at the United Kingdom, MEPC is involved along with some of our businesses in other towns, and particularly our specialization of regenerating the inner city of the smaller cities in the United Kingdom. And there's been a move towards those partly because there's been a national policy to move out of London and the government was trying to push, and partly because technology makes it easier. And you go away from the very expensive southeast of the United Kingdom, and particularly London as a coast. So in terms of development of projects, we're continuing to, if you look at METC projects, these are multi year projects have continued to work a pace. The question is how does that open the door to attracting clients? It does that but it takes us many years to lend one of these large clients. So there are talks about ongoing, we cannot predict when they happen. But when they do, like I said the beginning, they tend to this witness for 15 years on average.
Operator: And our final question is from Robert Lee with KBW.
Robert Lee: Good morning, everyone. Thanks for your patience and taking questions. I guess I have a couple, maybe hard to talk a little bit of ETF strategy, and you talked couple times back since the time in 2021. And that's maybe jumping the gun. But clearly, you've seen BlackRock, and maybe some others their ETF businesses have kind of benefited from demand for ESG strategies. So given your expertise would be reasonable to assume that's kind of going to be the focus of your initiatives to try to differentiate yourself that way.
Chris Donahue: Well that was certainly me included. The overall picture, though, is that the active ETF market is maybe in the second inning going into the third. And there are a lot of filings going on active, but the assets are only less than 3% of the total in the entire ETF business. And so our activity is geared around coming up with a handful of strategies next year, probably a couple of fixed income and couple equity. But behind the curtain, we've got to develop the support the technology, the strategy and the distribution, which is what we're doing right now, in order to get to that level. And then next following that, we'd have another whole gang of offerings for less than a second tranche. By the time all this happens, I would suspect that the most if not all of those mandates will have been fully integrated in ESG. And much the same as Saker has said on these calls before that in the old days, when you said Hermes, you say ESG integration, part of the reason for the name change was the reverse transformational merger of Federated such that when you say Federated Hermes, you does ESG integrated, so they would all be part of the whole machinery. And we think that this puts us in a very good competitive situation for people so interested, because, yes, you can engage with some of the companies. But if you're passive, you're just buying the index, because you're buying the index. And you're not evaluating the risk reward profile of those underlying companies, based on the data and information you have from honest and authentic engagement.
Robert Lee: Great. And maybe the follow up for Chris, can you talk about best in year you got US ESG capability, ETS, what they have been that kind of your institutional business meet your fixed income flows have certainly been good and pipeline, and your performance. Generally, in fixed income, I think it's been good for a long while. But if you look at kind of your fixed income, separate accounts 30-ish, it's just under $30 billion is a nice number, but compared to some institutional players out there, it's much certainly much smaller. Do you feel like there's an opportunity or need to kind of revisit some of your major institutional marketing or market share? Back lows that are more priority -- some of the other things that aren't going well.
Chris Donahue: Well, I assure you that there are several individuals at Federated Hermes for pitch that is their top priority. And so that's, we're seeing that in RFP activity. And we think that the numbers that Ray was talking to you about where we have things like a high yield, integrated, and working very rigorously on the short cash on that integration is helping us especially with large mandates, from governmental clients and large pension funds that are focused on the ESG part of it. But another thing to look at, and this applies across the board for Federated during these times. And that is the relationships that have been built, have enabled us to let the clients understand the quality and diversification of the offerings that are available. And that's why we've had $45 billion of sales so far this year. That's a gross number, of course, but it's an all time high. And that gives us a lot of confidence, even during these COVID times, that we're able to present those kinds of things to clients. Now, it's a little more difficult, trying to get new ones when you're not traveling, but the ability to do old ones and respond with mechanics and computers for RFP that still works. But I appreciate your point that our fixed income, institutional money should be bigger than $30 billion. And I will pass that message on to our head of sales in the next hour.
Robert Lee: Fair enough. And just one last question. I appreciate your patience. And I know you don't present the business this way. But as I was just curious, thinking the sense of if we looked at flows this quarter, or maybe a year-to-date, if we were thinking that kind of that permeates the UK business versus Federated, they know it's one team one dream, but just trying to get some sense of the route of contribution from the Hermes business and -- . 
Ray Hanley: Yes, Rob, it's Ray. For this particular quarter, the flows would have been weighted to the legacy Federated side of the equation, although Hermes net positive net sales on a long term basis as well, but for this particular quarter, meaning two, three, it came more from the legacy Federated side and we've seen that work both ways, in a couple of years of history that we know. 
Chris Donahue: And, Rob, I would add to that when you use the term a Hermes contribution, meaning our UK operations, you cannot underestimate the importance of the EOS data and the methodologies associated which we've covered at length on this call as part of Hermes' contribution to the ethos and branding of Federated. And I would just ask for the voice that's been picked up here, I have two grandchildren and I understand the challenge.
Operator: We have reached the end of the question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Chris Donahue: Thank you, Sherry. That concludes our remarks for today. We thank you all including our youngest participants for joining us today.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. And have a great day.